Operator: Ladies and gentlemen, thank you for standing by and welcome to the Insight Enterprises, Inc. Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a Question-and-Answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, CFO Glynis Bryan. Thank you. Please go ahead.
Glynis Bryan: Welcome, everyone. And thank you for joining the Insight Enterprises Earnings Conference Call. Today, we will be discussing the Company's operating results for the quarter and full year ended December 31st, 2021. I'm Glynis Bryan, Chief Financial Officer of Insight, and joining me is Joyce Mullen, President and Chief Executive Officer. If you do not have a copy of the earnings release or the accompanying slide presentation that was posted this morning and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com on the Investor Relations section. Today's call, including the question-and-answer period is being webcast live and can be accessed by the Investor Relations page of our website at insight.com. And our tech copy of the conference call will be available approximately two hours after completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contains time-sensitive information that is accurate only as of today, February 10th, 2022. This call is a property of Insight Enterprises, any redistribution, retransmission, or rebroadcast of this call in any form without the express written consent of Insight Enterprises is strictly prohibited. In today's conference call, we will be referring to non-GAAP financial measures as we discuss the fourth quarter and full-year 2021 financial results. When discussing non-GAAP measures, we will refer to them as adjusted. You will find a reconciliation of these adjusted measures to our actual GAAP results included in either the press release or the accompanying slide presentation issued earlier today. Please note that unless highlighted as constant currency, all amounts and growth rates are discussed in U.S. dollar term. As a reminder, all forward-looking statements that are made during this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today's press release and in greater detail in our most recently filed periodic reports and subsequent filings with the SEC. All forward-looking statements are made as of the date of this call and except as required by law, we undertake no obligation to update any forward-looking statements made on this call, whether as a result of new information, future events, or otherwise. With that, I will now turn the call over to Joyce. And if you're following along with the slide presentation, we will begin on slide four. Joyce?
Joyce Mullen: Thank you very much, Glynis. Hello, everyone. And thank you for joining us today to discuss our fourth-quarter and full-year 2021 operating results. I am so honored and very excited to address you today as the CEO of Insight. First of all, I would like to thank the dedicated teammates at Insight for their commitment to our clients, the collaboration with our partners and their perseverance and focus on delivering strong results. 2021 was a challenging and tumultuous year in so many ways and I could not be prouder to work with our teammates across the globe. I will talk more about our results in a few minutes. Let me start with the incredible opportunity in front of us. The market demand for Insight solutions is greater than ever before. Fueled by the critical need for digital transformation, which actually has accelerated over the last two years. Many of you are familiar with the history of Insight. We entered the market as a product reseller, but a number of years ago, Ken and our leadership team saw the transformation in the IT space coming. That transformation, driven by next-generation technology required deep technical expertise. Today, we have a differentiated portfolio of solutions to help clients transform their businesses. We architect, implement, secure, and manage the solutions that maximize the value of our clients ' technologies. And we are well positioned to help organizations with the solutions they need to drive their digital transformation. We leverage our strong capabilities across our six areas of expertise. Modern workplace and modern applications which are critical for migrating our clients applications to the Cloud. Modern infrastructure, which is essential for operating in a hybrid multi-cloud world with a complex set of options that require a high level of expertise and analysis. Cyber security, which has become vital to all organizations as information moves to the Cloud and work environment shift to remote hybrid models, which are replacing the traditional office model. Data and AI, which is an area that can completely transform a business operations and customer experiences, and the intelligent edge, which is estimated to become bigger than the public Cloud today. Technology at the edge gathers data and processes it the most efficient way to enable real-time decision-making and incredibly exciting space that requires expertise in vertical software, hardware and services. Our solutions are delivered through a broad scope of services. Consulting services which align our clients ' business goals and digital strategies. Professional and life cycle services which simplify the supply chain and streamline costs across global hardware and software life cycles. And managed services, which aligned resources and employee standardized processes and tools to deliver consistent outcomes. For example, on Slide 5 one of Insight's existing clients wanted to unify and shift its communications applications off-premises to the cloud across 3,500 locations. This client also wanted to decommission one of its datacenters to reduce its on-site footprint. The client was specifically seeking as-a-service solution to remove the internal administrative burden and to reduce spending. This client also established a very tight timeline. We designed and implemented one system for communications across all locations with centrally managed maintenance and ongoing support from Insight teams. Our client is now continuing to grow its Cloud environment quickly, sustainably and as their business demand. They are able to reduce costs and communications burdens of internal resources at every level. The client benefits from a new unified communications solutions and the ongoing management and maintenance is provided as a service by Insight. This is just one example of how we are working with clients to accelerate Cloud adoption and improve client experience -- customer experiences. What really makes our go-to-market strategy impactful is the ability to expand adjacencies within our areas of expertise. We have the ability not only to deliver immediate results for clients today, but to guide them through their longer-term digital transformation. Slide 6 is an example of how we help the large global retailer improve operations and at the same time, enhance their employee experience with a modern application framework. As an existing Insight client, they wanted to drive efficiency and accuracy and customer service and stocking. At the beginning of the project, their system relied on legacy devices that were expensive and difficult to maintain and support. With our help, they have now put hundreds of thousands of new devices into employees hands. The scale of this project is immense, giving them access to applications needed to support efficient and moderate customer service. Today, our client has modernize and automated back-end processes while improving employee and customer experiences on the front end. And Insight is managing the entire life cycle of the program. At Insight, every client interaction is an opportunity to create value for them. Our goal is to become their partner of choice to delivering expertise and results for them as they make their way through their own transformation agendas. As I said earlier, in 2021, our teammates once again, faced a challenging year. Made much more complicated by global supply constraints in difficulties presented by the pandemic. Our teammates adeptly navigated the uncertainty of the macro-environment and maintained focus on solving our clients biggest technology challenges. That focus was reflected in our full-year results. On an annual basis for 2021, we set company records for net sales, gross profit adjusted earnings from operations, and adjusted diluted earnings per share. During the year, we made investments in our sales and technical talent. These teammates play a critical role in driving business outcomes and delivering a great client experience. We began our multi-year program to modernize our e-Commerce experience. Early this year, our global team completed the on-boarding of all of our EMEA clients and partners at teammates onto Insight's common core IT systems, tools, and processes. Our focus on culture, Teammate well-being, diversity and inclusion and leadership development continued to be acknowledged with key recognition this year. We're on the Forbes world's best employers list in 2021, Insight ranked 95 overall, 12th for IT companies and at number 140 for diversity. We also achieved a perfect score on the Human Rights Campaign foundations 2022 corporate quality index. And we achieved notable recognition's from our partners around the globe as shown on Slide 7 and 8. While we're very proud of these accomplishments, we are focused on the opportunities ahead of us. We will be hosting an Investor Day in the fourth quarter, but in the meantime, our four primary business goals on slide nine. Our first, earn client loyalty. This business is a people business, and we earn loyalty by being client obsessed and delivering exceptional client results. 2. Lead with innovative services and solutions.  We deliver differentiated client outcomes by leveraging our broad solutions portfolio, expanding our six areas of technical expertise, our solution of skills, and our partner relationships. 3. Drive profitable growth through high-value solutions supported by operational excellence and integrated global systems. 4. Champion people, leadership and culture. We invest in our teammates so they have the opportunities to grow in their professional and personal lives. These four goals all contribute to a better, stronger Insight that delivers greater value to our clients, partners, teammates, and shareholders on our transformation to becoming an industry-recognized solutions integrator. Our values of hunger, heart and harmony are the foundation for the purpose-driven culture of our company. We believe that technology is our greatest resource for doing good, magnifying Nobel causes within comparable ability to scale, automate, innovate, and communicate. We remain committed to living up to the principles of protecting human rights, fair legal practices, anti-corruption and sustainability. We recently posted our annual corporate citizens report. You will gain a better understanding of Insight's culture by reading the stories about our teammates living the best versions of themselves and making a positive impact on their communities. I am so proud to be part of a team that embraces servant leadership and the diversity of our global community. Now, I will turn the call back over to Glynis to review our quarter and our full-year financial results.
Glynis Bryan: Thank you, Joyce. In the second year of the pandemic, we continued to focus on helping our clients forecast their needs and ensured that they were the chief supply as it became available. This led to rapid bookings and backlog levels exiting 2021. For 2022, industry analysts expect low single-digit growth in hardware. However, in our first quarter, we're seeing hardware bookings in North America improve double-digit year-over-year, compared to the first quarter of 2021.  Also, we exited the fourth quarter 2021 with elevated backlog, primarily in North America. We expect that this will benefit the first half of 2022. Moving on to slide 11 to 14 for our consolidated results, our net sales in the fourth quarter were $2.6 billion up 12% in constant currency and also in us dollars compared to the fourth quarter of 2020. This represented net -- record net sales for Insight. Gross profit of $385 million increased 12% year-over-year and gross margin was 15%. SG&A expenses were up 12% year-over-year in constant currency and up 13% in U.S. dollars.  As a percentage of net sales adjusted SG&A was 11% consistent with prior year and as a percentage of net sales, SG&A on a GAAP basis was also -- was 11.3% also consistent with prior year. Adjusted earnings from operations was a $103 million up 12% year-over-year, also up 12% on a GAAP basis to $93 million. An adjusted diluted earnings per share was $2.03 up 15% and $1.69 per share on a GAAP basis, an increase of 13%. On an annual basis for 2021, as Joyce mentioned, we set company records for net sales, gross profit, adjusted earnings from operations, and adjusted diluted earnings per share. Annual net sales of $9.4 billion were up 13% year-over-year. We maintained focus on leading with services which also grew 13% year-over-year. Our gross profit of $1.4 billion was up 11% from 2020. Gross margins for the full year was 15.3% compared to last year of 15.6%. Our Services gross profit was 49% of consolidated gross profit compared to 48% in 2020. Gross -- Cloud gross profit in 2021 grew 21% driven by SaaS and Infrastructure-as-a-Service with a combined gross profit growth rate of 35% year-over-year. SG&A expenses were up 7% year-over-year in constant currency and 10% in U.S. dollars. As a percentage of net sales, adjusted SG&A was 11.5% down from 11.7% in 2020 and below our guidance of 11.7% for 2021. As a result of net sales, SG&A on a GAAP basis was down 11.8%, down 30 basis points year-over-year. Adjusted earnings from operations were $362 million, up 12% year-over-year, compared to $322 million and a 22% increase in earnings from operations on a GAAP basis. And adjusted diluted earnings per share was $7.10, up 15% versus $5.95 per share on a GAAP basis, an increase of 22%. Our Cloud gross profit results for the quarter and full year were 17% and 18% of consolidated gross profit, respectively, this compares to 16%and 17% in the prior year, respectively, representing our cloud results exclusive of any Tier two our Cloud service provider net sales, which were previously included in our stated Cloud results. For more compatibility, we're reporting Cloud service provider net sales as part of our software product category. This signs within our historical and ongoing U.S. GAAP financial reporting and increases the focus on the faster growing Cloud related elements. Moving on to the results of each of our operating segments. And starting with North America operating results on slide 15, fourth-quarter net sales were $2.1 billion, a record for Insight up 13% year-over-year, driven by 19% increase in hardware net sales. Gross profit in North America in the fourth quarter increased 30% year-over-year and gross margin of 14.7% was relatively flat year-to-year. This was driven by the mix of products and services in the quarter. As I mentioned, we exited the year with elevated backlog in the business. Selling and administrative expenses increased to 14% year-over-year, driven by higher personnel and variable compensation costs resulting from higher net sales. Adjusted earnings from operations grew 9% year-over-year to $85 million. GAAP earnings from operations grew 8% year-over-year to $77 million. Moving onto the [Indiscernible] Slide 16, net sales in the fourth quarter grew 7% in constant currency. Gross profit also increased 10% in constant currency. Faster than net sales, primarily due to an increase in higher-margin services, partially offset by a net decrease in margin -- on product margin. Adjusted earnings from operations was 13.2% of 27% in constant currency. GAAP earnings from operations grew 35% year-over-year to $12.5 million. Now to APAC on Slide 17, net sales of $54 million and gross profit of $14 million in the fourth quarter increased 19% and 22%, respectively, year-over-year in constant currency, primarily due to higher sales across all categories in the region. This led to adjusted earnings from operations of $40.7 million in the quarter.  GAAP earnings from operations was $114.4 million. Moving on to our tax rate, our effective tax rate in 2021 was 20% compared to 24.4% in 2020. The net increase in our rate was a result of tax benefits made available by the Cares Act in 2020, partially offset by increased tax credit. Turning to the details of our 2021 cash flow performance on slide 18, our operations generated $164 million of cash in 2021, compared to $356 million of cash in 2020. As we have highlighted previously, our cash conversion cycle is inverted, meaning we pair partners on terms shorter than we received payments from our clients. This allows us to drive more cash flow when hardware sales decline, while in periods of growth, more cash is used in our operations. In 2021, hyper-growth recovered significantly, returning our business to a more historical range of annual cash flow generation. In the fourth quarter, our cash conversion cycle was 30 days flat year-over-year, faster than our cash conversion cycle included the following: strategic inventory procurement and supportive plant projects, partially offset by improved DSO and deferral of payments to certain vendors. In 2021, we invested $52 million in capital expenditures mainly related to facility at technology investments. We also received $31 million in proceeds from the sale of real estate assets. Lastly, we spent $50 million to repurchase shares of our common stock in Q2 of 2021. We continue to have $75 million remaining under our share repurchase authorization. As of December 31, 2021, we had almost all of our $1.2 billion capacity available under our ABL facility and we have ample capacity to fund future growth.  At the end of the year, we had a cash balance of $104 million, of which $84 million was resident in our foreign subsidiaries. We had $362 million of outstanding debt, including our senior convertible notes at the end of the quarter, compared to prior year cash balance of $182 million dollars and total debt of $439 million. Moving on to liquidity on slide 9, we exited the quarter with a leverage position at less than 1.0 times debt-to-cash flows or EBITDA, which is well within our level of comfort. Under our ABL agreement, our primary compliance covenant is a fixed charge cover to ratio, which includes trailing 12 month EBITDA coverage over capital expenditures, taxes, and cash interest. As of December 31, we're 4.1 times the minimum requirement of 1 times, and we're confident we can support our capital requirements and liquidity for the full year 2022, guidance on slide 20, we expect to deliver mid-single-digit net sales growth. We expect that the adjusted diluted earnings per share for the full year of 2022 be between $7.65 and $7.85. This outlook assume interest expense between $30 million to $35 million, an effective tax rate of 25% to 26% for the full year of 2022. Capital expenditures of $75 million to $80 million, including final completion of our new corporate headquarters and an average share count for the full year of 35.6 million share. This outlook excludes acquisition-related intangible amortization expense of approximately $31 million and assumes no acquisition-related or severance and restructuring expenses. I will now turn the call back to Joyce.
Joyce Mullen: Thank you Glynis. In closing, I want to thank our teammates again for their hunger, heart, and harmony. I want to thank our clients for trusting Insight to help them transform their businesses. And I also want to thank our partners for their collaboration and support in building innovative solutions that deliver differentiated results. Insight had an incredible year and there is so much more opportunity. This concludes my comments and then we'll now open the line for your questions.
Operator: [Operator Instructions] We will pause for just a moment to compile the Q&A roster. Your first question is from the line of Matt Sheerin with Stifel.
Matt Sheerin: Yes, thank you. Good morning.
Joyce Mullen: Can I just -- I'm sorry, Matt. Can I just take a question before you start your [Indiscernible] I realized that the tax rate for 2021 of 20% It's actually 25%. So I just like to get that correction up there.
Matt Sheerin: Okay. Fair enough. Thank you. I wanted to ask this regarding your outlook for the year of mid-single-digit growth. It sounds like you're going to be off to a fairly strong start. It sounds like there's backlog to ship too. So it looks like you're going to be growing faster than that in the first quarter and maybe in the second quarter. So are you being conservative? Are there issues like component constraints factored in there? Why the conservative guide relative to the start for the year?
Joyce Mullen: Thanks Matt, for the question. I'm comfortable with our guidance for a couple of reasons. First of all, we expect to grow faster than the market. Couple of hundred, three hundred basis points faster than the market in mid-single-digits. Our hard year -- you're absolutely correct. We expect very strong hardware growth, particularly, in the first half. And we expect that to new in the second half for a couple of reasons.  One is we have sort of pretty significant compares. And also we expect that backlog to start to subside a bit. Although backlog is still increasing as you noted in the first half or in the first quarter. We also expect to see improved growth in services, which will yield margin expansion. And we expect improved SG&A leverage. So I'm comfortable with our guidance. We do expect it to be a bit different in the first half, in the second half, largely due to hardware.
Matt Sheerin: Okay. And relative to that, those mix expectations on gross margin, which essentially was flat or down maybe a little bit from last year. How should we expect that to play out this year?
Joyce Mullen: Yeah, we expect some gross margin expansion because of the increased mix in services. As Hardware growth, we won't see the same levels of Park growth that we saw this past year. And so we expect that to result in gross margin expansion overall. Glynis, you want to add anything?
Glynis Bryan: Matt, if you look at our Hardware specific results, last year we grew 16%. A lot of that in the second half of the year. We're expecting to grow low single-digits for the first half and midish in the second half of the year and that is the moderator. So Hardware is growing at a slower pace in 2022, Services is growing at a faster pace in 2022, and that results in gross margin expansion.
Matt Sheerin: Okay. Did you say that the hardware would be growing faster in the first half versus the second half?
Glynis Bryan: Yes. Yes. Because of the backlog and because of comps, right. [Indiscernible] first half of 2022 [Indiscernible].
Matt Sheerin: Got it -- got it. And are you having issues on the supply side? Is that why the backlog is strong?
Glynis Bryan: So yes, I think we're seeing some -- some improvements in the device lead times. So, that is definitely improving, albeit not quickly and not 100% consistently across all the device space. We haven't seen much improvement in the infrastructure space though, especially networking. And we don't expect that to improve until this -- probably, it will be the second half of the year.
Matt Sheerin: Okay. And just lastly, regarding the balance sheet, as you talked about, the strength there, and it's been over two years since your last major acquisition. What is the pipeline there in terms of your M&A strategy?
Joyce Mullen: Sure Matt. we think of them a nice being one of our core competencies and we continue to look at deals and evaluate yields and market is a little frothy right now with regard to multiples that companies are in the market for. That has actually come down a little bit from a stock market perspective. So we anticipate maybe they'll be a little bit of that in following in the private market arena.  But we continue to look at acquisitions in the areas of building out our technical capability and some geographic whole gaps that we may have, as well as looking at scale acquisitions, as you know we don't control the timing specifically at the scale acquisitions that's much more related to a courtship process that we go through with the company before they may agreed to be acquired by Insight. So we are continuing all those efforts and that has not let up.
Matt Sheerin: Great. Thanks for answering the questions. Thanks.
Operator: Your next question is from the line of Catherine Huntley with Raymond James.
Catherine Huntley: Hey, everybody. Thank you so much for taking our questions today. This is Catherine on for Adam. Joyce, if I can start with you. Did you experience any price increases in the quarter given the component shortages? And were you able to pass these along? And what was the reaction of customers?
Joyce Mullen: Yes, we did see some price increases in the quarter. We were able generally to pass those along to our clients. And I think there's enough clarity around the supply chain constraints that customers are pretty accepting of those price increases. I should note though, when we talk about supply chain constraints, easy for me to say, we are shipping more product than we've ever shipped before. While the demand is higher than supply, we continue to ship more product than ever before. The market is responding, it's just trying to keep up with the increased demand.
Catherine Huntley: Okay, perfect. Thank you so much for that color and then dovetailing of what you just said about that margin point, the implied guidance for the year as mid-single-digit revenue growth. But if you look at the EPS midpoint, that implies high single-digit growth, implying that there could be a margin drop-through. Would that be from price increases or from what you alluded to in a previous question, which was services growth?
Joyce Mullen: I do expect ASP will be a bit higher, but I think the biggest driver of that is in change in the mix. So we expect to see more services in our portfolio as a percentage of our overall revenue, which will yield margin expenses expansion, and SG&A leverage will also help with that.
Catherine Huntley: Awesome. Thank you so much.
Operator: Your next question is from the line of Anthony Lebiedzinski with Sidoti & Company.
Anthony Lebiedzinski: Good morning, and thank you for taking the questions. I guess first, just to follow-up about the price increases, can you just perhaps quantify the extent of the price increases that you took in the fourth quarter and how should we think about 2022 just from a price-increase perspective?
Joyce Mullen: I actually -- Glynis, do you have an idea of how big the price increases were in [Indiscernible]?
Glynis Bryan: I don't. I can't answer that question specifically, Anthony. I think that in terms of our overall results for Q4, price increases were not a significant driver.
Anthony Lebiedzinski: Got it. Okay. Thanks for clarifying that. And then, just in terms of the tight labor market, can you talk about your ability to attract and retain talent? How is that going for you guys? And will there -- Do you expected changes for that here.
Glynis Bryan: Thank you. So certainly the labor market is tight, but there's really sort of two pieces of it. First of all, we have to retain that highly talented team that we have, and we're doing a very good job at that. I would say, but much better than market, and we expect that to continue. We have seen a slight uptick in attrition. But as I said, quite significantly below market. And yes, we've been -- technical talent is always pretty competitive, specifically in the Cloud and the digital space. We are seeing that we have to be more aggressive around offers and they are more expensive, but they help us build solutions. And in most circumstances, we're able to tap on the increased cost for the labor through our services contracts. And we also find that being flexible about around work from home and hybrid work is really helping with our recruitment, but that's a lot of hard work. So it's a combination of retaining our talents and then making sure we have a really, really tremendous opportunity available to a talent we're trying to attract.
Anthony Lebiedzinski: Got you. And in terms of your different vertical markets. Can you talk about what you saw in the fourth quarter and as the country opens up, hopefully more as the year progresses, how should we think about that for you guys?
Joyce Mullen: So are you asking as offices reopen, how do we think about the impact on our business? Is that what your -- is that the net of the question?
Anthony Lebiedzinski: Yeah. Pretty much. Yeah, on that note, basically and to just talk, like if you could just address maybe your main vertical markets as well. How does that impact it? How did that perform in the fourth quarter? And if you could just go through that, that'd be great.
Joyce Mullen: Anthony, what I would say that we don't really talk about verticals is that we don't discuss verticals as part of our overall operating results, there's no one vertical for us, It's predominant, I guess is what we have said in the past. So I don't know that I wouldn't answer to give us to answer your question from a vertical perspective, from a return to the office perspective, it's a mix of sometimes seeing back in some clients not being in some clients preparing to go back end. Sometimes those have been pushed off for even the in-office work that required our teams to be onsite and that it's related to the Omicron I out there, but I would say that in general our anticipation is that one of two things will happen. We live in a hybrid world where clients are going to be in the office and they're also going to be remote and they're going to be continuing to upgrade their infrastructure, their bandwidth in particular from the networking side to be able to handle and have better collaboration capability with your teammates and with their clients.
Anthony Lebiedzinski: Awesome. Okay, thanks for the quarter. Thank you.
Joyce Mullen: Thank you.
Operator: Your final question is from the line of Vincent Colicchio with Barrington Research.
Vincent Colicchio: Good morning. What -- could you give us some sense of what services should be strongest in the second half?
Joyce Mullen: Yes, sure. We expect -- we have a fairly significant -- we see some really nice bookings because growth and services across the entire portfolio. As Glynis just mentioned, as clients start to come back to the office, we expect to see more of our modern workplace offices -- offers sort of kick in. And we've seen some nice growth in those bookings and we're now -- we will start to deploy those this year in -- at a higher rate. Lots of -- as Glynis also mentioned, there's a lot of networking projects that have been a bit delayed. So we have them on our books. We're ready to go, but we're waiting for product. So we expect that infrastructure -- modern infrastructure -- those modern infrastructure solutions to be quite -- we expect those to increase this year as well. And I think we're seeing a lot more focus and emphasis on modern applications, so really across the portfolio. And as you'd mentioned cybersecurity, as well. Cybersecurity is also growing at a very significant rate. We're seeing pretty solid strength across the portfolio, which is exciting to note.
Vincent Colicchio: And what product categories, on the hardware-side offer the most opportunity to gain share in the first half?
Joyce Mullen: Well in the biggest of, of great for us is devices and we continue to focus on that sort of hybrid work environment and making sure that the productivity solutions that we offer to our clients are affecting. We have a significant backlog there and then I have to say networking is, isn't very significant opportunity for us. And the backlog is definitely record setting there from a networking gear point of view. And so as I said, there's a lot of opportunity for us to deploy that gear. When we can get it and settled drag a lot of services along with it.
Vincent Colicchio: Glynis, I think you've talked per prior question. You don't talk too much about verticals, but how about client segments Enterprise, for example, versus mid-size clients. How do some of those -- within those categories, how did things perform in the quarter?
Glynis Bryan: Actually in both categories, large, small, large enterprise and mid-market, we don't really have small, we have mid-market corporate. Performance is good, performance is very strong, a little bit muted in the public sector, that was down on a year-over-year basis in Q4, flat for the year, but in Q4 it was down. But the large enterprise and mid - market/corporate space performed really well.
Vincent Colicchio: Thanks for answering my questions and nice quarter.
Glynis Bryan: Thanks. I appreciate that.
Operator: This concludes the Insight Enterprises, Inc. Fourth Quarter 2021 Earnings Conference Call. Thank you for your participation. You may now disconnect.